Operator: Hello ladies and gentlemen and welcome to participate in IT Tech Packaging's First Quarter 2021 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are Mr. Zhenyong Liu, IT Tech Packaging's Chairman and Chief Executive Officer; and Ms. Jing Hao, the Company's Chief Financial Officer. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its first quarter 2021 financial results via press release yesterday which can be found on the company's website at www.itpackaging.cn. First, Mr. Liu will brief you on the company's key operational highlights over the first quarter 2021, and then Ms. Hao will review the company's financial results. Before we start, I would like to draw your attention to our Safe Harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts in its announcement are forward-looking statements, including but not limited to, anticipated revenues from the corrugating medium paper, tissue paper, and offset printing paper business segments; the actions and initiatives of current and potential competitors; the company's ability to introduce new products; the company's ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management personnel and research and development staff; and other risks detailed in the company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates, and projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expansion except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that this expectation will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks and it is now available for download from the company's website at www.itpackaging.cn. Please note that there will be discussions on non-GAAP financial measures or EBITDA or earnings before interest, taxes, depreciation, and amortization. Please refer to our press release for a complete reconciliation of EBITDA and net income. As a kind reminder, all numbers in our presentation are quoted in US dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. I would now like to turn the call over to Mr. Liu. His comments will be delivered in English by [Dahong Zhou] from EverGreen Investor Relations.
Zhenyong Liu: Thank you, operator and good morning everyone. Thanks for joining our first quarter 2021 earnings conference call. We continued to making improvements in the sales volume of CMP products for this quarter. Our total revenue had increase of 176.9% to $24.2 million, resulted from 129.4% growth of overall sales volume and a 20.7% increase in average selling prices over all categories of products. The average selling prices of over all categories of products for this quarter increased 11.9% from the fourth quarter 2020. We took a quick recovery from the impacts of global outbreaks of COVID-19 pandemic, posting growing revenues from sales of tissue paper, offset printing paper and CMP products. Our production and sales of tissue paper products have been growing up steadily since the launch of PM8 and PM9 in December 2018 and November 2019. Currently, we have completed fundamental constructions on its new tissue paper production line, the PM10 and is working on the installation of affiliated equipment. Amid robust domestic market demand for tissue paper products and improved production efficiency, we will continue to expanding our capacity as we expect to see strong growth from tissue paper business segment that will greatly boost our overall performance. In addition, we are also expanding the business to high and new technology business such as combined heat and power generation project utilizing biomass technology project, Biomass CHP Project and expect to diversify our sources of revenue and ensure our stable modes of profit making. Now I will turn the call over to our CFO, Ms. Jing Hao, who will review and comment on the fourth (sic) [first] quarter financial results. Her comments will be delivered in English by my colleague Janice Wang. Janice please go ahead.
Jing Hao: [Foreign Language] Thanks everyone for being on the call. Next on behalf of the management team, I will summarize some key financial results for the first quarter of 2021. Also I will occasionally refer to specific production lines associated with various products. I will make clear which products I'm referring to. For reference, the numbering system for our production line is provided on slide number 17. Now, let's look at our financial performance for the first quarter of 2021. Please turn to Slide number 7. For the first quarter of 2021, total revenue increased 176.9% to $24.2 million due to the increase in sales volume of Corrugating medium paper CMP and offset printing paper and increase in average selling prices, ASPs of CMP and tissue paper products. Turning to Slide 8. For the first quarter of 2020, the CMP segment including both regular CMP and light-weight CMP generated revenue of $20.7 million, representing 85.6% of total revenue. $17 million of revenue was from our regular CMP products and $3.7 million was from light-weight CMP. CMP segment volumes significantly increased by 121.1% to 41,296 tonnes, of which 33,626 tonnes were regular CMP and 7,670 tonnes were light-weight CMP. Average selling price, or ASP, for regular CMP increased by 21.5% to $504 per tonne and ASP for light-weight CMP increased by 18.7% to $489 per tonne. Turning to Slide 9. For the first quarter of 2021, we recognised revenue of $2.1 million from offset printing paper products, resulting from sales of 3,142 tonnes and an ASP of $673 per tonne. Turning to Slide 10. We recognized revenue of $1.3 million from tissue paper products for the first quarter of 2021, resulting from sales of 1,120 tonnes and an ASP of $1,117 per tonne. Turning to Slide 11. We sold 3,836 thousand pieces of face masks and generated revenue of $0.13 million from selling face masks throughout the first quarter 2020. Slide number 12 summarizes the changes in our revenue mix. For the first quarter of 2021, total cost of sales increased by $13.5 million to $22.4 million leading to total gross profit of $1.8 million, 1178.8% increase from gross loss of $0.2 for same period last year and our overall profit margin of 7.6%. For the first quarter of 2021, SG&A expenses decreased by 5.3% to $2.6 million losses from operations were $0.7 million compared to loss from operations of $2.9 for the same period of last year. Operating loss margin were 3% compared to operating loss margin of 32.8% for the same period last year. For the first quarter of 2021, net loss was $4.3 million, resulting in a net loss of $0.12 per basic and diluted share, this compare to a net loss of $2.4 million or net loss of $0.11 per basic and diluted share for the same period last year. For the first quarter of 2021, earnings before interest, taxes, deprecation and amortization decreased by $1.11 million to negative $0.07 million from $1.04 million for the same period of last year. Moving to slide 19 and 20. Let’s look at the balance sheet and liquidity. As of March 31, 2021 the company had cash and bank balances, short-term debt, including bank loans, current portion of long-term loans from credit union and related party loans, and long-term debt, including related party loans of $37.4 million, $12.1 million and $4.6 million respectively, compared to $4.1 million, $12.2 million and $4.6 million, respectively, as end of 2020. Net accounts receivable was $5.2 million as of March 31, 2021, compared to $2.4 million as of December 31, 2020. Net inventory was $7.4 million as of March 31, 2021 compared to $1.2 million at the end of December 2020 As of March 31, 2021, the company had current assets of $61.1 million and current liabilities of $20.2 million, resulting in a working capital of $40.9 million. This was compared to current assets of $14.9 million and current liabilities of $18.3 million, resulting in a working capital deficit of $3.4 million at the end of 2020. Net cash used in operating activities was $8.3 million for the first quarter of 2021, compared to net cash provided by operating activities of $6.9 million for the same period last year. Net cash used in investing activities was $0.04 million for the first quarter of 2021, compared to $0.76 million for the same period last year. Net cash provided by financing activities was $41.8 million for the first quarter of 2021, compared to net cash from financing activities of zero for the same period of last year.
Operator: Thank you for attending IT Tech Packaging's first quarter 2021 earnings conference call. This concludes our call today and we thank you all for listening in. Good-bye.